Frank Calabria: Good morning, everyone, and welcome to the 2026 Half Year Results for Origin Energy. It's Frank Calabria here, and I'm joined by my executive leadership team. I'll provide a brief overview of the performance and outlook. Tony Lucas will also provide an overview of the financial results, and we'll follow that with questions and answers. And you may already be aware, but you'll see that we've got additional detail included in the appendices. Okay. So then turning to the highlights. I think the overall message for Origin in this half is a half year results that have been solid, allowing an upgrade to the full year guidance for Energy Markets. Our retail performance continued to strengthen. Grid scale batteries added further portfolio flexibility. Gas production was steady. And we continued to maintain cost management discipline. Turning to the summary of the financial results. Overall, we've got EBITDA of $860 million for Energy Markets, which is higher than expected with continued strong operational performance. Integrated Gas also had an EBITDA of $860 million, which was in line with expectations for APLNG and LNG trading. Octopus recorded an EBITDA loss of $89 million for the half, reflecting seasonality in their earnings. U.K. regulatory costs, they've invested in smart tariffs to grow connected customers and they continue to invest in the scaling of their non-U.K. retail and energy services businesses. Turning to the business highlights. Operational performance across the portfolio has been strong. We grew our customer base by 96,000. We reduced our cost to serve by $32 million. We brought the Eraring battery Stage 1 online, and it's generating revenue since December, and it was delivered on time and on budget. Supernode 1 is in commissioning in January, and we've been earning revenue on that battery as well. All other battery developments remain on track. And we've committed through the half, we committed a further $80 million to expand Eraring Stage 2 battery, which will now be nearly 6 hours of storage. As you probably all know, we've announced that the Eraring power station operations have been extended to April 2029. And during the period, we continue to progress the Golden Beach gas storage project and have committed a further $25 million to that project. As announced in late December, Kraken announced its first stand-alone equity raise at a look-through valuation of USD 8.65 billion, alongside a major licensing agreement that increased contracted accounts to the Kraken platform to 90 million and they now have doubled their contracted annual recurring revenue in the last 18 months. Octopus continued its rapid growth. It added 1.2 million customer accounts in the half with 0.8 million, 800,000 of those accounts growing outside of the U.K. The Board determined a $0.30 fully franked interim dividend, which is really supported by our strong cash flow and balance sheet strength. So now turning to the financial highlights. Statutory profit for the half was $557 million. The underlying profit was $593 million. The underlying EBITDA was $1,589 million, that you can see there, with higher-than-expected Energy Markets earnings offset by the lower Integrated Gas earnings, as I say, which was in line with expectations and also a lower contribution from Octopus Energy. Good to see our adjusted free cash flow lifting. It's up by $187 million to $705 million. The balance sheet continues to be strength reflected by net debt to adjusted underlying EBITDA of 2x. And as I said, we've declared a $0.30 interim dividend fully franked. Turning to our purpose, which we continue to make sure we focus on getting energy right for our customers, communities and planet. Just very briefly during the half, what we've achieved, $23 million spent on customer hardship. Lifted our customer happiness to 71%. We've expanded use of AI to improve customer experience and outcomes. We've launched new battery products, and we continue to be one of the largest East Coast gas suppliers through APLNG. For communities, we spent $232 million with regional suppliers, $14.4 million with First Nation suppliers. We committed a further -- we committed $1.5 million of the $5 million Eraring Community Investment Fund in the period. And through our foundation, made contributions of $2.1 million and pleasingly 3,500 employee hours as we continue to contribute to the community more broadly. When it comes to the planet, we received very strong support for our second Climate Transition Action Plan with a 94.67% vote. And the Eraring power station extension is not expected to impact our climate targets or ambitions. As I said, the Eraring batteries online for Stage 1, and we've continued to grow that through Stage 2. We now have over 30 megawatts of community batteries under operation, and we continue to progress the pre-FID activities for our 1.5 gigawatt Yanco Delta project. Looking to the next slide. Origin strategy remains to lead the energy transition through cleaner energy and customer solutions, and we do that with a clear focus of continuing to deliver reliable and affordable energy along the way. To achieve that, we've established differentiated assets and capabilities that we continue to build upon. And you can see that, that ranges from customer energy supply, energy resource, Octopus and Kraken. And that turns us to our investment proposition, which combines 2 things: a leading Australian energy businesses with strong cash flows, that are being generated and fully franked dividends and continuing to enable us to invest in the transition. And in addition to that, we have a significant global growth potential through these businesses, Octopus Energy and Kraken Technologies. Energy Markets benefits from a leading brand, advanced technology platforms, advantaged assets and cost position, and there are lots of opportunities for growth across customers, products, renewables and storage that we remain very firmly focused on executing. Through APLNG, we have a very low cost of supply. We have very strong reserves and exciting exploration opportunities, and our reserves are well beyond the export contracts we have today. So a very long runway and valuable asset. Our dividend yield is 5.3% and that is before you take into account the franking benefit. Turning to Octopus and Kraken. Octopus is now the largest U.K. energy retailer, and it's scaling both in the non-U.K. markets and also in Energy Services. And that brand, which is very strong in the U.K., is now building itself in more than one market. In Kraken Technologies, we have a global technology platform that is growing rapidly and has a significant addressable market ahead of it. I'll now hand over to Tony Lucas, and he will take you through the financial results.
Anthony Lucas: Thank you, Frank. Tony Lucas here, CFO of Origin. Good morning, everyone, and thank you for joining. I'll spend a few minutes with you digging a little deeper into the segment results as well as our cash and balance sheet positions. Today's result reflects three consistent themes, the strength of our diverse portfolio, our disciplined approach to capital management, and our continued delivery of sustainable returns for our shareholders. Starting with EBITDA. Group earnings were supported by stronger-than-expected performance in Energy Markets and an Integrated Gas contribution that was in line with expectations. In Energy Markets, our strong and diverse portfolio resulted in a 17% increase in EBITDA. Electricity was higher, reflecting the lagged flow-through of higher wholesale pricing into retail customer tariffs, combined with lower green scheme costs and solar feed-in costs. Gas was lower on the prior period. This reflected lower trading volumes and some legacy contracts rolling off. Importantly, we continue to expect full year gas earnings to be moderately higher than fin year '25 as both sale and purchase contracts reprice in the second half. Pleasingly, reduction in cost to serve continued with ongoing Kraken benefits, and we remain on track to deliver the midpoint of our cost-out targets. As we continue to grow the customer base, bring additional grid scale batteries online, progress the Yanco Delta development, the business remains very well positioned to deliver through the energy transition. Turning to the Integrated Gas business. The contribution was in line with expectations with lower realized prices and volumes at APLNG and lower trading LNG trading gains. Realized prices in APLNG reflected softer oil and spot LNG markets and also the impact of the Sinopec price review, which was effective 1 January 2025. APLNG continues to focus on field optimization activities, including improved production forecasting, which informs low-cost drilling opportunities. APLNG remains a world-class asset and a significant contributor to the East Coast gas market with 22% of sales volumes delivered to domestic customers. Turning to Octopus Energy. Kraken revenue growth continued. However, EBITDA was lower. This was due to investment in accelerated client delivery and growth opportunities, as well as a change in the capitalization policy for the technology development costs. The contribution from the U.K. retail business was lower due to investment in smart tariffs to grow Flex customers and the expansion of the U.K. government's warm home discount scheme, where we expect some recovery in fin year '27 of those costs. Octopus continues to invest in its non-U.K. expansion and in its scaling of its Energy Services business with continued customer growth across the U.K. and non-U.K. markets and the global expansion of Kraken, Origin's investment in both Octopus and Kraken continue to build substantial long-term value for our shareholders. Moving on to cash. We delivered a strong cash generation in this period. Energy Markets cash conversion was above 100% and fully franked dividends from APLNG of $542 million. CapEx reduced $400 million in the period. This reflected the fact that we've passed the peak of our spend on the battery growth projects. Tax paid was $500 million lower due to a higher balancing payment last year for the fin year '24 tax return. That was a function of the higher earnings and partially franked APLNG dividends in that return. Also worth noting, we expect a net tax refund in the second half, and this should result in tax paid of around $160 million for fin year '26. Our two strong businesses continue to generate the cash required to deliver our strategy execution and shareholder returns. Now focusing on the balance sheet. We saw a small reduction in adjusted net debt to $4.59 billion. This reflected strong operating cash flows in APLNG distributions, largely offset by the CapEx and dividend. We're currently at the bottom end of our 2x to 3x target range of adjusted net debt to adjusted underlying EBITDA. As we deliver the battery programs, we expect to move further into the target range over fin year '26 and fin year '27, noting a lease liability to be recognized in relation to the tolled batteries as they come online. Overall, the balance sheet remains strong and flexible. Finally, capital allocation. The Board is determined to pay a steady fully franked dividend of $0.30 per share, reflecting continued balance sheet strength and the cash generation from two strong businesses. As Frank mentioned, this represents a 5.3% dividend yield before franking benefits and is consistent with our policy to deliver sustainable distributions to shareholders through the business cycle. When I reflect on this result, what stands out to me is that we're consistently delivering what we said we would. We're investing selectively and thoughtfully. We remain disciplined and we're keeping the business well positioned to deliver for shareholders and customers through the energy transition. I'll hand back to Frank now to delve deeper into underlying business drivers.
Frank Calabria: Thanks very much, Tony. Now we'll turn to business performance, which dropped into a little bit more detail based on the summary you've just heard from Tony and I before. Turning firstly to Energy Markets. We continue to track in line with our medium-term targets there. Our electricity earnings were above the $25 to $40 a megawatt hour target range that we've set for the half. We expect to be above that range also for the full year 2026. And in 2027, we'll benefit from the ramp-up of batteries coming online. But we're also seeing some lower wholesale electricity prices in recent times. So that has an offsetting impact. For Gas earnings, they remain in line with budget at $3 to $4 a gigajoule, and we are on track to deliver the $100 million to $150 million cost savings in FY '26 or by FY '26. That's driven by a range of things, good deployment of technology, organizational improvements, efficiency more broadly. And what we are seeing even throughout that, despite the fact that we've achieved such a good cost reduction is that with the non-repeat of the energy bill relief we've got some higher bad and doubtful debts that have come through this period of time. Then turning to customer. The momentum remains very strong. We've now had more than 10 consecutive halves of customer growth. We increased customers by 96,000 in this half. It does include a 52,000 customer accounts from the Energy Locals acquisition. And in February, we also completed a further acquisition of 1st Energy, which will add an additional 80,000 customers to what you see on that chart. We have an unrivaled brand. We've got the #1 community energy services or embedded networks business with 484,000 customers. And we've grown the Internet on a compound annual growth rate by 37% over the last 3 years, and that continues to grow. We've got market-leading churn and a continued improvement in customer experience, including the introduction of new propositions. And we have leading tech and product, and we -- AI continues to scale, particularly for our customer business. And you can see there in terms of messages sent, but in voice, we're now serving over 100,000 customers up from 25,000 customers. We have grown digital interactions to our customers for up to 80% from 75% and our market-leading virtual power plant has continued to grow. Turning to Energy Supply. The generation performance has been strong. We've talked about bringing the Eraring Stage 1 battery online, and you can see good early performance as shown on that left-hand chart. More broadly, for generation performance, we've had high reliability for the gas peaking and hydro fleet. We've contracted the coal for the 2026 financial year, it's largely, fully contracted and that's at prices lower than the prior financial year. And for Eraring, we generated 6.4 terawatt hours in the half and an availability of 72.26%, which is measured after both planned and unplanned outages. On the right-hand side, our investments in storage are on track. They're both on time and on budget. It's a 1.7 gigawatt or 6.3 gigawatt hour program underway. And once again, we are confirming our target post-tax returns of between 8% and 11% with the front end of those asset lives at the upper end. APLNG revenue declined due to lower realized LNG prices. I'm now on Slide 16, primarily reflecting oil price movements. And also a contribution to that by the Sinopec price review. Our costs remained stable at $4.30 a gigajoule compared to the second half of FY '25. We've got higher optimization activity. We've completed key infrastructure projects and exploration through that half. And then that's been offset by reduced power costs and some lower nonoperated development. But good to see we're holding that discipline of $4.30 that we gave guidance to the market last time we issued results. Slide 17 takes us into a little bit more depth around that production optimization and midterm supply options. Production of 339 petajoules for the half is on track to deliver 645 to 680 petajoules guidance for the full financial year. It really is a story of continued field optimization and us progressing our midterm supply options. When we talk field optimization activity, we're really talking about well availability, which is good to see that it's grown to 95% over the last year. That's driven by increased workovers, deployment of artificial lift systems, formation stabilization. And we're now performing the majority of those of our major workovers being performed live, which has a production benefit. We've also completed several gathering lines. So a very extensive program being executed by the team there. At the same time, in terms of midterm supply options, they include additional processing capacity in the Western asset, and we're also awaiting EPBC and other approvals to drill further wells in the Eastern asset, most notably the Ironbark program. Over the last 12 months, production forecasting has continued to improve, and that's giving more and more confidence and information for us to be choosing the right opportunities to be drilled and the right optimization activity we carried out. Just dropping into exploration and certainly made reference before, but we're providing further information on that, and in particular, the advancing exploration opportunities in the Taroom Trough where APLNG holds a large 10-year footprint across both our operated and nonoperated holdings. And most of those are near our existing gas infrastructure. To date, our activity has been concentrated along that shallow eastern margins of the trough with the initial exploration wells delivering encouraging gas flows. And three additional pilot wells are being drilled and are to be fracture-stimulated with production testing to commence this calendar year. So we've got a bit of activity underway there. And in separate or other exploration activity, we've successfully fracture stimulated and completed the horizontal CSG wells in the Peat, which is the first in Queensland. So another achievement there. So very excited by our exploration opportunities and the activity we have underway. Now turning to Kraken and Octopus Energy. I did talk about the fact that these transactions at the commencement of the presentation. The net outcome of those is that Origin maintains or retains a 22.7% economic interest in Kraken and Octopus Energy. And by the way, there will be an Investor Day with the CEO of Kraken on the 28th of April in Sydney, which is good and gives an opportunity for investors to get a much deeper dive into that business as well. Those series of transactions are summarized on the right-hand side, and I did go through those before key highlights. Kraken did its first stand-alone raise at USD 1 billion. It's a valuation of USD 8.65 billion. Origin will invest AUD 210 million as part of that and get 1.5% in exchange for releasing exclusivity to the Kraken platform in Energy in Australia. The major licensing agreement is another step along the way, gives line of sight to those 100 million accounts and give a bit of guidance as to where that USD 1 billion raise funds will be deployed, $150 million retained in Kraken, $850 million retained in Octopus. Octopus Capital and other investors have injected a further $320 million funding in Octopus Energy, and that will also support future growth and other requirements. Just [ move forward ] to the Slide 20, just to give some context that you can see, just really what's happened over time for this investment and as much to identify also the investors that have come along at various points on the journey. And I think it's been a very deliberate strategy to introduce investors with key capabilities that that benefit the organization over time, and you can see they're very credible and also to highlight what we've committed, which is AUD 1.4 billion over the journey. Now turning to Octopus Energy's results on Slide 21. They grew U.K. customer accounts by 400,000. They now have 14.5 million U.K. customer accounts. They capture 35% of switches, churn is 40% below peers. And the customer base is high quality, and they have much better than market collection performance. And as we highlighted before they've invested in smart tariffs to really grow that Flex customers and further customer lifetime value. On international, they've grown that customer account base by 28%. So that's up by 800,000. They have now 3.5 million accounts in those markets. They continue to be deliberate about the choices where they invest for the growth in those markets and they make those decisions pretty actively. And you can see there are emerging scale benefits, and we give an example there about direct acquisitions that are occurring in Italy and Spain. Germany is also, I think, notably reached 1 million customer accounts. For Energy Services, they're increasing cross-sell, increasing scale, and they've improved efficiencies since the start of the year, which has contributed to a halving of the energy services investment compared to the prior comparable half period and good to see the progress there. Turning to Kraken. Kraken continues to scale that competitive advantage that they have with the software platform, track record in migration is very strong. The revenue growth matches the completion of those migrations. So therefore, it's not always linear. And there has been a margin impact this year by lower capitalization of development costs as the customers move into the operations phase. So we've sort of guided what's really happened over the last 3 years to give you a sense for the EBITDA margin, which has been 40% over the last 3-plus years. Continuing to invest in future growth for Kraken, that's a delivery capacity that's capabilities, including AI talent. It is really an enterprise-grade platform that's very well set up, and therefore, as nonpublic data, it's actually a very -- it's a very strong proprietary system with deep integrations and regulatory compliance. So that is not that's hard earned and therefore, puts them in a very strong position as they continue to benefit from coding technologies to accelerate product development. And the introduction of very knowledgeable investors like D1 Capital at that last raise is also good to see as we bring public crossover investors onto the register. Strong sales momentum, we're at 90 million accounts and well on our way to the 100 million. And I've talked about that major license agreement before. Just now turning to guidance, which I'm sure you're all waiting for. Pleasingly, Energy Markets EBITDA guidance has been upgraded to $1.55 billion to $1.75 billion range, and that is up from the previous guidance range of $1.4 billion to $1.7 billion. LNG trading and Octopus guidance remains unchanged. We -- the group CapEx is expected to be between $900 million and $1.1 billion. We updated APLNG production guidance when we released our quarterly and that is now 645 to 680 petajoules. APLNG CapEx and OpEx guidance remains unchanged, and we provided now APLNG cash distributions, which is what come to Origin of between $700 million and $950 million. The appendix has got further commentary on guidance for all of your information. So in closing, Origin, we still have a strong belief that we're very well positioned for the transition with advantaged assets and capabilities. We've got strong cash flows and returns from two diversified businesses in Energy Markets and Integrated Gas. And we've got global growth exposure and value upside through Kraken and Octopus, continued balance sheet strength at 2x debt to EBITDA, and been able to declare a stable, fully franked dividend, which is delivering a 5.3% yield to shareholders before you take into account the franking benefit. So on that note, we are very happy to now hand over to questions.
Operator: [Operator Instructions] Your first question today comes from Tom Allen from UBS.
Tom Allen: Just in the energy markets, electricity GP margins at over $40 a megawatt hour over the half are clearly a long way ahead of your through-the-cycle margin guidance. And looking into FY '27, the result calls out new battery earnings and lower coal costs being a tailwind, but partly offset by weaker wholesale prices. Can you please refresh us on an indicative range for the incremental EBITDA in FY '27 from batteries and also comment on the extent to which your electricity portfolio is hedged into FY '27, just to help us understand how much of a down driver weaker wholesale prices might be as you see them currently?
Frank Calabria: Yes, sure. So you've actually peeled away. We're obviously not giving guidance today, but you are picking up correctly and we'll take these in turn. We've got a battery and coal tailwinds. We've certainly been setting ourselves up for '27. The key variable that's playing itself out now is the way wholesale prices will flow through to the default market offer. So you're right, you've got all of those playing out. I might just ask -- sorry, I'll give an overall view on the coal. I'll ask Tony then to give a little bit more depth on the battery, and we can give you a bit of the drivers around that. But you've got the key drivers there. In terms of coal, we're certainly well on our way to contracting coal and well progressed. And that's looking at prices to be below -- at cost below what we've contracted in '26, and '26 was below '25. We still got to actually complete the contracting of that coal over time, but that's where we're tracking at the moment. On batteries, you're right, we'll see an uplift in the battery earnings. And Tony, do you want to just add anything further to that in terms of -- we do give some information where CODs are occurring, but there will be uplift.
Anthony Lucas: Yes. So we would expect uplift, obviously, into fin year '27 from -- full year contribution from those batteries. We haven't guided specifically on what that EBITDA is, but you sort of take that range that we give the IRR range and sort of back solve what that might be. Coal costs, we are seeing lower than where we've contracted this fin year. And then probably sort of offsetting that is -- or not offsetting entirely, but sort of the headwind, as you called out really is we would expect that the lower forward prices to make their way into lower mass market DMO tariffs and potentially C&I rates as we contract that book. In terms of where we sit in that GP range, we originally put that out there as a target range once we got through sort of 3 to 5 gigawatt build-out in renewables over the short-term renewables and storage was to reflect the retirement of Eraring. So we have called out, we sit above that or near the top end of that when we've got Eraring in and those investments coming online. So without guiding '27, I'd expect it to be near the top of that range.
Frank Calabria: And Tom, just the last comment, you made a comment about using the term hedging. And certainly, the wholesale team have been active and I'd say even proactive early on in terms of what we do in respect of '27. And if that's the reference you're making, certainly, we've been pleased to be able to work actively on that and well in advance. The one thing that is yet to play out, as you know, is just how wholesale prices and the DMO flow in and then what flows from that in terms of the retail book, and that's probably the key variable that will play itself out over the coming months.
Tom Allen: Great. A follow-up question. The interim dividend at $0.30 per share fully franked, I think, is the first time since half year '22 that Origin hasn't lifted the interim dividend year-on-year. Just in the context of having upgraded guidance in both energy markets and APLNG leverage at the bottom end of your target range. Can you comment on whether we should interpret this as a hint of the potential for an incremental capital commitment over the coming period of scale, perhaps at Golden Beach given you spent more there or Yanco Delta or potentially within APLNG?
Anthony Lucas: Yes. Thanks, Tom. We've probably gone through a period where we were obviously paying no dividend for a while and so increasing the dividend through the period. When we look forward, we've got oil prices probably potentially a little bit lower. They're holding up in the high 60s at the moment. We've got the tail end of the CapEx on the battery program. And then we've got the sort of the impact, albeit not a cash impact of the change in the accounting methodology for the battery. So we sort of see gearing in that range that we've indicated. We'll get through the rest of the CapEx spend. We'll see what other opportunities are there, see where oil sort of settles. So we feel sort of comfortable at where we're setting the dividend at this time.
Frank Calabria: And Tom, we will continue to actively manage capital between the opportunities before us and returns to shareholders, and we will continue to review that based on what Tony has just talked about.
Tom Allen: I mean you've been clear that the capital framework seeks to deliver a sustainable dividend. So is this a sign that recognizing the volatility in oil markets that you've called out, coming to the end of the battery CapEx, is this at that sustainable level now? Or there's still capacity to pay out more?
Anthony Lucas: Well it's sort of hard to -- I don't want to forecast where dividends might go. But the way you should think about it is when gearing was particularly low, sort of sub-2x, you could absorb sort of economic cycle and commodity cycle impacts a lot easier and increase the dividend. I think we would be sort of challenged that we're under geared at that level. So in the 2 to 3x, we feel that's the appropriate gearing given the commodities prices that we're exposed to. So we don't sort of -- we don't look at necessarily a progressive dividend. But as those business cycles started to improve cash flows, that could be a potential opportunity, but we'll balance that against what options we've got in front of us equally.
Operator: Your next question comes from Henry Meyer from Goldman Sachs.
Henry Meyer: Let me start on APLNG. The Taroom Trough is getting a lot of focus at the moment. I remember years ago we had some oil shows coming up from deeper intervals in Condabri. But with this exploration program planned, could you share a bit more detail on what potential resource volume you're looking at and what the success criteria might be to inform potential developments, whether it's a flow rate or other metrics?
Frank Calabria: Okay. Andrew, do you want to pick that up?
Andrew Thornton: Yes. Thanks, Henry. So as Frank called out earlier, I mean, the main purpose of this update was to say, firstly, we've restarted our exploration program after a number of years of very low activity. And secondly, we have a very large position, I think the largest position of acreage and tenure across the Taroom Trough, which runs pretty much north to south along our tenure from both an operated and nonoperated perspective. We drilled a well in the Condabri Deeps a few years ago. And it was -- it performed pretty strongly, but we didn't get to frac it all the way down post the -- deeper than the Coles. And so what we've done this year is we've gone in and drilled an additional 3 pilot wells. We've done that now. That's telling us -- that's telling us that the reservoir is consistent with what we thought and well logs are supportable, everything looks good, but we have to critically go back in and frac it. And that will tell us ultimately the deliverability and the true potential of the play. So that's going to happen sometime midyear. And really, we agree with the thinking and the commentary that Taroom Trough is a potentially very significant play, but it is still early stage, and there's a number of technical and economic uncertainties to be resolved. So I think all that says is post the well test after the frac in the middle of the year, we'll know a lot more. And there's a pretty good opportunity for us because, as Frank mentioned, the acreage that we have is right near our existing processing facilities. And in particular, in Condabri there, we have outage that we could connect into these wells into pretty quickly if it goes well.
Henry Meyer: Okay. And second one, sticking to Integrated Gas. You've called out the ongoing investments to Golden Beach here. Could you just share a bit of detail on what agreement is already in place there and potential timing for the developments? Any costs that Origin would need to support either on balance sheet or off balance sheet through contracting?
Andrew Thornton: Yes. So we disclosed there how much we've put into the project to date, and we've committed another $25 million. The project is making good progress. As far as timing, and it will be likely that we'll participate both as an offtaker and an investor of some kind moving forward. A couple of things will be timing, FID, we'll take FID when -- as you'd expect, once we've derisked the project from a regulatory procurement and commercial perspective. And there's still a fair bit of work to go on that front before we sort of want to put out a view on timing of an FID and operations. Ultimately, it will be a $1 billion-plus project if it goes ahead, but it's not intended that Origin would be the majority of the equity or anything like that. And so we'll need to bring in partners. And so we'll have choices ultimately into how much we want to invest at the time when we know when we have sort of a better -- get our arms around the project and the economics.
Operator: Your next question comes from Gordon Ramsay from RBC Capital Markets.
Gordon Ramsay: Just interested about battery returns and the comment that the front end of asset life is expected towards the upper end of your guided returns and 8% to 11% post-tax IRR. What's the expected difference between front and tail end?
Frank Calabria: I'll get Tony to give you some...
Anthony Lucas: Yes. Thanks, Gordon. Yes. So in the past, we've guided that we think that we'll be at or even potentially above that target in the front end. And then when we took fit on those projects, Gordon, if you remember, batteries sort of get their revenue from 3 components. Firstly, there's the cap price. Secondly, the arbitrage spread during the day, and finally, ancillary services. And we -- on that latter one, we would forecast that those ancillary service revenues fall through time as more of the kit, I guess, that comes into the market can offer those services. And equally, when we took FID on the projects, we wouldn't have banked necessarily that -- you should think that we bank necessarily that cap prices remained at the level they were when we took FID. So we expect potentially sort of both of those, the cap return and then also -- sorry, the cap premium and also the ancillary to fall through time. In some cases, when we run scenarios, it might be right at the sort of tail end of that range. Equally, we've got scenarios that don't fall -- fall as much as that. So we just sort of -- we would say that they're more solid in the first 5, 7 years than they are in the tail end.
Gordon Ramsay: Just one more from me, and this is not for you because it's a technical question, sorry. On the Taroom Trough, when you're talking about drilling a horizontal well, can you give us an indication of what the length of those wells would be in the number of frac stages?
Andrew Thornton: Thanks, Gordon. Andrew here. So no, they're verticals at the moment into Taroom Trough. So you might be talking about the -- we've got there -- we're doing a horizontal frac in Peat. But as far as the Condabri Deeps wells, yes, they're going to be vertical frac wells. Still think it's competitively sensitive on frac stages, et cetera. I will say that we're drilling on the eastern flank, it's a bit shallower, which we see a bit shallower than the rest of the trough. And so we see that as an advantage, obviously, on well costs.
Gordon Ramsay: Okay. Sorry, Peat -- what kind of well you're drilling then on Peat?
Andrew Thornton: Yes. So this is a deeper play. And it's the first time, as we understand it, that the industry and the CSG industry in Queensland will have done a horizontal frac well. We see -- clearly, we've done lots of horizontals before, but this is the first frac well. It's about a 1-kilometer lateral. And in addition, probably the reason for calling it out the way we have is in addition to potentially opening up the Peat acreage to a future development, there's actually a number of other areas that are quite deep and quite tight. And if we can prove that we can do horizontal fracs, it probably opens up some other areas like in Spring Gully that we haven't gone after at this point. So it's sort of like -- it's a test to see what we can do in horizontal fracs beyond -- in Peat and beyond.
Operator: Your next question comes from Amit Kanwatia from Jefferies.
Amit Kanwatia: Just a question on the energy markets. And I mean, if I look at the skew of the business first half, second half, I think last year, it was 53%, 47%. And given you've upgraded the guidance in Feb for full year '26, how do you see that to be evolving for this year, please?
Anthony Lucas: Yes, sure. Thanks for the question. So in terms of split, we're probably, I would expect more like more evenly weighted, perhaps sort of slightly maybe 1% or 2% higher in the first half at a total EBITDA level.
Amit Kanwatia: Right. Okay. And this includes the contribution from the, I think, which is a benefit in second half. But more so, I mean, if you can speak to how you see the wholesale -- I mean, the hedge book and how the wholesale price volatility, which was very low in the first half, but how do you see that to be evolving as well?
Anthony Lucas: Yes, there's a couple of things, I guess that if you remember, sort of end of last year, we had quite a lot of volatility in that second half, very late in the second half of the prior fin year. And so we're not necessarily forecasting that we get that sort of level of volatility. The book will be positioned particularly well for that if that was to occur with the peaking fleet. So really, the electricity book is probably a little bit stronger first half, second half. In terms of the gas is probably the key call out. We would traditionally normally have a stronger first half in gas in a normal year. What we're seeing this year is just the roll-off of some trading contracts and the recontracting and changing nature of the book. We've got a much stronger -- or sort of a stronger second half than we have first half. So that's probably a different weighting to what you normally would expect out of that gas book.
Amit Kanwatia: Right. And maybe just a question on Eraring and you've made a decision to extend this until fiscal '29. And then at the same time, you're saying you're not going to do any major maintenance from here. Maybe if you can speak to how do you see all 4 units to be operational for the next few years? And any obligations from the government to keep the asset operational as part of your deal with the New South Wales?
Greg Jarvis: Amit, it's Greg Jarvis. Look, just with -- we're very confident about maintaining Eraring out to April '29. The Eraring power station is in good order. So we're very confident in not doing any major outages. I think the important thing here is that with the changing market, there will be opportunities where we can take out units when there's low demand and high capacity and do proactive management. And so by doing that, that will improve the reliability. So I'm pretty confident about extending these units out to April '29.
Amit Kanwatia: All right. And last question, if I can move to Kraken and formal separation. May be useful to provide an update on the process from here and the potential pathways to unlock value for shareholders, particularly given the recent volatility in the equity markets in the tech space.
Frank Calabria: Yes. Okay. Thanks, Amit. Clearly, what you can see has happened since we last reported to the market is that a series of transactions have been set up so that this business can separate, and it's now set up to be able to pursue independent paths for both businesses. That might include an IPO of Kraken, but we're not in a position to confirm anything on that today. That's certainly a choice available to the investors. We obviously continue to be supportive of both of them. But clearly, you can see that it's now on a path for both of those, and that's an active consideration. So you can see those steps demonstrating action. But as to timing and final decision, I haven't got anything further to add today. And the main focus is that it's ready to pursue whatever path we choose. And I think investors that have come in. They're very -- it was very clear about the investor base we wanted to bring in on this transaction. I mean D1 has led that out, but there's a number of others. And so we feel we're well placed to have now a cap table that enables us to take several parts. And that's what the focus is right now. Everyone is aware of what's happening in markets. But at the same time, it wasn't that long ago that a bunch of knowledgeable investors came in and invested at USD 8.65. And so we're still very, very focused on quite an exciting future for Kraken. It might be worth me just adding a couple of things about that because there's a lot happening in the tech space, and it's difficult for us to comment on sentiment at a very granular level. But that look-through valuation is one. The pipeline that we can see for Kraken is another strong point. And the nature of what happens in utilities is we should never forget the fact that these are big decisions for utilities. And therefore, the sort of proprietary nature, the nonpublic data, the domain logic, the integration, the regulatory compliance and also the brand trust and delivery record are really quite important factors to be successful in this market. And the proven platform, the fact that it was cloud native, the fact that you can actually have that unified data set and you can, therefore, code and add more AI capability to it and you get an opportunity to hear directly from [ here ] does see -- we see opportunities. But clearly, you've got sentiment in market and other things, but we do feel it is very well placed to continue to be successful. And certainly, I think they're a good organization in the sense of the way they leverage those capabilities, build those capabilities and continue to advance, and that's certainly been active.
Operator: Your next question comes from Dale Koenders from Barrenjoey.
Dale Koenders: I was hoping you could provide a little bit more color around, I guess, the rest of Octopus outside of Kraken. Just understanding how much in the sort of the negative EBITDA was seasonal? And because when we look at that seasonal swing historically from the limited data we have, it looks like sort of second half up $80 million is the best we've seen in U.K. retail. So how much of this is structural versus seasonal in terms of the first half result?
Frank Calabria: Okay. Look, when we gave the quarterly, we were guiding to the fact that it is always -- the first half has always been very little earnings come out of the U.K. retail business in itself. So that's another feature this half. But you're right, the one thing that happened in addition to that was that the warm home discount came in, which has actually cost the U.K. retailers this half, part of which or a reasonable chunk of which gets recovered the following year. So there's an element of timing associated with that. Otherwise, if I looked at U.K. retail, they would be the 2 key features associated with that. Then turning to international retail, that is -- that's a growth and a conscious choice to grow those businesses. Actually, before I come to that, just the last thing really on U.K. retail is a decision to invest in the smart tariffs. By that, what do we mean by that? It's really owning the flexibility customers that come on to that platform over time and grow value in that respect. So there's an investment that's being made by them in that. That's a choice they'll make each year as to how much they want to invest in it, but it certainly has been heavier this half than prior. When it comes to the international, it's a very conscious decision. They're growing customers. It'd be like the early stages of the U.K., so the cost to acquire would be close to GBP 100 rather than the GBP 50 or GBP 60 they're paying in the U.K. now. So that's very much a growth story. Services is all about scaling, improving efficiency. So you would expect that to continue to get better, and that's the aim of the businesses. So I wouldn't say structural. The only thing on the accounting for Kraken and other things like that is that, that's why we're trying to give an average of that margin over time simply because the -- if you then think about you go into IFRS or other accounting, there will always be some element about what goes to development, what goes to capitalization versus expense. So that's the one thing that's probably just playing it through right now. I don't -- we just continue to expect that these business -- the U.K. business, in particular, Dale, will achieve its sort of GBP 40 to GBP 50 a customer in EBITDA. Like I mean, I think there's no change to our view around that. But you can -- I fully appreciate there's quite a bit moving around and noise in that in the 6-month period, but that's hasn't changed our fundamental view of the business.
Dale Koenders: I think the hard thing, Frank, just the guidance for FY '26 is $0 to $150 million. Like when we think about the loss that was made in the first half and the seasonal swing in U.K. retail with potentially plus $80 million back the other way, it's looking like the second half might be maybe breakeven and still not enough to get over the first half loss to hit the bottom end of your range. So like what scenarios do we need to actually see to hit the bottom end and the top end of that guidance range?
Frank Calabria: Yes. Well, we give a range, so you can form a view in that. There's -- but we do expect the second half to be much stronger. We've gone through January. It is much stronger for the U.K. retail business, to be clear, Dale. There's a lot always moving around. January was a decent month for them. They go through those shoulder periods. That's the only -- there's a reason for the ranges around those aspects. But we do expect we're not giving a range with the objective of hitting the bottom end. We're giving a range because we would be wanting to hit in the middle of it. That's the objective. I don't know, Tony, if you've got anything more specific on U.K. retail.
Anthony Lucas: It's just -- it's really the shape of the U.K. retail cash flow. So it is a much stronger second half in the U.K. retail. It predominantly comes about because of the way that they pay capacity charges in the gas market and then recover that across the customer base. The revenue has really recovered across that second half period with the winter. So predominantly that will be where we see a stronger second half out of those. There'll be some slight improvements in Energy Services run rate. We're seeing good progress in that. Non-U.K. retail, as Frank called out, will be a function really of investment and they've swung into market and swung out of market as they've seen opportunities. But yes, predominantly U.K. retail.
Operator: Your next question comes from Nik Burns from Jarden Australia.
Nik Burns: First question on energy markets. The final Nelson review released late last year, just can you talk through your thinking and your thoughts on the review and the potential impacts on Origin? Frank, you've said before you feel pretty comfortable where your generation portfolio sits. But with the recent commitment to Eraring life extension and the review now released, has your view shifted at all on the opportunity set for further investment? You've still got Yanco Delta out there. And is there an increasing need for more gas peakers and even more investment in battery storage as well?
Frank Calabria: Yes, sure. The market -- we're early stages into a very large transition, Nik. So I think the need for everything is going to grow over time. Specifically back to your link to the Nelson review, though, obviously, they handed down their report at the end of last year. Probably the key thing though, now that the industry and policymakers and government will actually work on is in specifically the ESCM, which is the contract mechanism being recommended by the panel that will drive future investment. That mechanism has quite a lot of work acknowledged by everyone in the detail of how those, let's call it, contract structures, and that's really addressing this tenor gap. And so that becomes a very important piece of detail to be landed and landed soon so that it is attracting the right investment enduring over time beyond structures like the CIS, and that's why the government has initiated that review. So I think there's still more work to be done on that. Linking it back to what do you think the market will need. We still remain of the view that you can see there'll be a lot of batteries being built and that's going on underway. There'll need to be a replacement of energy over time, and that diversification points to the fact that, that energy is also going to need to come from sources like wind, which is why we remain very positive by having a very large-scale attractive wind project. So that's going to be needed in the system. And we do think there'll need to be more gas-fired generation introduced. And if you had Daniel Westerman, for example, at AEMO, he would give you a very consistent message to this. Why the mechanism becomes important for that asset class is you can see that there will be a lot that plays out on an average day being produced initially by coal, then by -- more by renewables and by batteries moving it around. But we will need to have sufficient capacity for periods of time, which we've seen over the last period of time where you're going to need more than 6, 8 hours of storage, but they're likely over time to be less frequent. And so therefore, they need to be supported by a well-constructed mechanism that rewards capacity appropriately. And that's probably the one thing we would see critical. You can see it's not getting in the way of people bringing storage on like us and others, but that becomes, I think, a key ingredient. And one that I think is understood as I say, even if you talk to AEMO and others, I don't think that's controversial, but it will need to be brought in.
Nik Burns: But from your perspective, there still needs to be more work done before you feel confident moving ahead with any further investment decision there?
Frank Calabria: Well, certainly, at the moment, we would be either investing in current mechanisms, and therefore, there are both states and federal governments with their own mechanisms, and we continue to engage with all of those. If you're asking about a long-dated asset when people are envisaging that there would be a new market mechanism coming in over the coming years, then we would need to see more of the detail associated with the ECM. We certainly are not stopping the advancing of opportunities to be clear, Nik, and we're assessing that and working on that and being ready for that. So we will make judgments. But at the moment, making a large gas-fired peaking, it would need a form of support that rewarded capacity over time.
Nik Burns: Got it. I might stick with the theme on government reviews or my other question, just around the gas market review and APLNG. Obviously been talk around a reservation scheme being introduced there, and there's been a range of percentages that may be applied to the Queensland LNG producers. Can you just confirm, first of all, that under the ranges being proposed, there wouldn't be any incremental gas supply that APLNG will need to supply to the domestic market. And then just looking through, you flagged the medium-term investment needs at APLNG just to maintain gas supply. Does -- post the release of the gas market review, does the joint venture there have sufficient confidence on the impact of the review to approve that new investment that you're currently looking at?
Frank Calabria: Well, I think there's further work to be done on the gas market review. A lot of work done, but acknowledged, I think, also by the policymakers, they've got to actually work through how some of the specific mechanisms work. And so my starting position, we haven't talked in the joint venture is that there needs to be some further clarity around some of those mechanisms for investment. But Andrew, do you want to add anything further given the detailed work that APLNG has been doing?
Andrew Thornton: Yes. So -- we obviously support the holistic review of all of the mechanisms that are in place in the gas market at the moment. And I think you asked a question of between 15% and 25%, would APLNG have to contribute more, I think maybe was the question. And we don't think so in the short term, but at some point, contracts roll off. And so if you look out 5-plus years, for example. And depending on what that reservation percentage is, depending on the term of the reservation, depending on how often it's reviewed, et cetera, there are a number of variables which could impact ultimately APLNG's obligation. But certainly, in the short term, as we talk about, we're a very significant contributor to the East Coast gas market. And so I wouldn't see there being any near-term impact. I think then in terms of like the length of future investment, there are a number of factors, which obviously we take into account the view of the market, the outcome of this review, they are all inputs. Certainly, we want to continue to support our supply and production irrespective of the outcome of the gas market review from the perspective we've got to meet contracts. We've just reduced or eliminated one of the constraints we had to additional drilling in the West in Spring Gully through the completion of a water pipeline between Spring Gully and Reedy Creek. So we've got the opportunity to commence drilling again in Spring Gully next year. Some of the -- probably the larger investment opportunities we've talked about an expansion in Reedy Creek processing facility. We talked about exploration as well. Some of those items, I think, where you're really making a choice to have additional length above contracts. That's where I think you've really got to have a good look at market inputs and policy inputs as well.
Operator: Your next question comes from Ian Myles from Macquarie Equities.
Ian Myles: If we just go back to Energy Markets for a second. You upgraded guidance, but in the referencing you talked about batteries and the gas position. How have they changed from your previous guidance? Because you would have known about both of those prior. So I'm just interested in what has lifted that sort of guidance expectation.
Anthony Lucas: Ian, Tony here. Really, in terms of where we thought going into the year where we have benefited really is, again, remember, last year, we were able to change the mix a bit on the portfolio trading in the forward market. We're able to repeat components of that in the first half. We had the lower LRET and [ VWAP ] prices that materialized through the first half, which is -- and we predict into the second half, which has contributed to that. We also had sort of higher volumes out of C&I, and we've also been able to run Eraring harder than what we probably forecast at a lower coal cost. So it's just 2 or 3 sort of contributing factors that gave us a little bit more in the tank than what we would have thought going into the year. And then on the gas, we've done a little bit of what we call sort of value management in terms of tariffs in the gas book. And then we've also got some lower supply costs coming through there. So there were just a few things we've been able to do throughout the year that's enabled us to increase the outlook.
Ian Myles: Okay. That's great. And on the -- and I just maybe ask the question a different way. You've got lower coal contracts. You put in your slide deck, the VWAP price for New South Wales base for '27 is down the better part of circa $7. You have a pretty good view of where the DMO pricing would and BDO pricing will be coming out at this point in time. Does the coal drop offset the drop in baseload prices?
Andrew Thornton: Ian, is that -- that's a '27...
Frank Calabria: '27.
Andrew Thornton: Yes. Well, ultimately, we won't have contracted all of our coal for '27. So it's kind of hard to make a full statement there. I think that you would sort of indicate that the forward prices the way that they have -- if you look at forward fin year '27 prices and how they relate to fin year '26, which is kind of the important thing to look at, not how '27 has evolved through time, you'll see that, that has a reduction in the tariff of a certain amount per megawatt hour, which I think is probably ultimately more than the coal. The coal will go some way to offsetting it. But ultimately, it will depend on where we contract the remainder of that.
Frank Calabria: And then competitive dynamics in the retail market as well that flow from that. But...
Ian Myles: Okay. And then -- okay, that's fine. On Octopus Energy, do you want to clarify, OE obviously raised implicit money through the Kraken transaction. Is that business now capitally sufficient? And I'm curious to understand, did Origin have a look at the convertible note, which Octopus Co acquired and why you didn't seek to have that own part of that CB?
Frank Calabria: Yes. Look, just in terms of the Octopus, it is capitally efficient to go forward on its independent path. And the focus for us, firstly, was around the Kraken. We -- I don't think we've -- if there's a further convertible note opportunity that might arise and there's other funding opportunities, we'll continue to assess those. But it was one that was really done by Octopus Capital, this particular one, and we were happy for them to do that. But it doesn't stop us assessing opportunities like that going forward. And so we certainly were active in a lot of the conversations around that and relationships...
Ian Myles: You didn't say no to that opportunity.
Frank Calabria: No, no, didn't say...
Ian Myles: You weren't given the opportunity.
Frank Calabria: Octopus Capital agreed and we were aware. They did tell us they were going to do that note. And like a lot of these relationships over time, we were aware that they were going to put that in there. It's not a question of saying no. It's a question of us then thinking about future opportunities with them. That was the way it was set.
Ian Myles: Okay. Yes. And you make a comment to Kraken EBITDA guidance of 40% over the last 3 years. Year 1 was really high, year 2 and year 3 were incrementally lower. Why is 40% the right number? You spoke...
Frank Calabria: We just want to I'm not -- what we're really trying to guide over time is there's been movements around in that margin in that business over time, and we're just giving a look through over a 3-plus year view. And you can look at those averages over time as to where it's going. And also, as you go into the future, I've been asked a question about whether it goes to IPO. And I don't know what market it goes to IPO and what accounting might flow from that as well. So I think the fundamentals are, though, that they're growing that revenue base at good unit economics. And that's -- and there's certainly been some movement around investing in capability that's growing it to the business it is today. And secondly, there's been some accounting change to that. So yes, that was all it was intended to do, Ian.
Ian Myles: Okay. That's fine. And on that, has the business now got that baseline capability of being an independent company operating. So the cost base has actually done the step-up so that the incremental wins that you get and the incremental conversions are actually got really high conversion rates that we're going to get a return in the margin.
Frank Calabria: Yes is the answer. And the objective of having -- so there has been a heavy capability build over the last, I would say, 18 months or so. You have a leadership team that's now scaling a global enterprise platform business. The objective of having EMEA come out at the end of April is for people to hear that directly, and they are set up today to deliver across multi-geographies and products and winning those accounts. And the last one was obviously significant, and it's continuing on that growth path, and that is definitely the case.
Ian Myles: One final question. We've seen volatility in the -- obviously, the Australian energy market slipping. Is this changing your time lines of investment cycles for the gas plants and additional batteries in the system given I think for the first time, I've heard you guys talk the actual cap prices are falling in a reasonable way.
Frank Calabria: Yes. That has -- there are probably different durations to that answer, Ian. And by the way, we foreshadowed that cap prices would fall over time. Cap prices are, as you know, can be a function of volatility, and we've gone through a 6-month period where through a combination of baseload availability, good renewable output and batteries coming into the system, we saw low volatility, then you come into the New Year and you're seeing more. And then we've just talked about previously and we raise it again, that winter is becoming one of the riskier periods, so we're still got to play that out. So we continue to see volatility, but cap prices will be informed by that volatility. There's a lot of batteries coming into the system. We feel very confident about the investments we've made. That's why we've given the commentary we have to date, continue to assess those. They've lowered in cost, and we've been able to increase pretty cheaply incremental capacity and duration on that. I think when you think about assets like gas-fired peakers, you're essentially introducing a 20-plus year asset into your portfolio. I think it's really around the latter half of those periods versus the front half in terms of understanding how the market would play out over the longer term. There's still a lot, that's still going to come into the market. There's still a substantial amount of all of these assets that are going to come in. But certainly, as it relates to gas-fired peaking, I think because the nature of those assets may not run high capacity factors, but play a very valuable role. I think that's the one where you'd want to make sure you understand that, particularly in the outer years.
Operator: Your next question comes from Rob Koh from Morgan Stanley.
Robert Koh: Congratulations on the result. I thought I'd ask an electricity question and give Mr. Jarvis an opportunity to talk as I think he's got plans for the rest of this year or I hope he does. Just again, in terms of...
Frank Calabria: Not yet, Rob, not just yet...
Robert Koh: Got everything you can. But just in terms of battery revenues, and I guess following on from Myles' question about caps and avoided cap cost revenue. Can you give us any sense of how your thoughts are evolving? Are the new morning and evening peak products also maybe providing a battery opportunity?
Greg Jarvis: Yes. Rob, look, the battery is working really well in the portfolio. There's a few things. The intraday volatility still plays out. So right now in summer, it probably lends itself to really manage the sort of the evening peak. So we're probably doing all one cycles. But you can see -- going forward you can see how we can double cycle these batteries as well. So they're playing really well in the portfolio. I've got to say the other benefit we get from these batteries is we don't have to turn on gas peakers just for a 1- or 2-hour period, which is -- that leads to high maintenance costs. So we're also seeing some benefit just with the existing fleet. So we can use our sort of gas peakers more for duration events, if that makes sense. So really, these batteries -- and we're having a battery in every state. So that just gives flexibility right across the portfolio, which is playing very well for us.
Robert Koh: Okay. Sounds good. I was trying to say something nice about your announcement there and do wish you all the best in your next opportunity.
Greg Jarvis: Rob, I appreciate it. And let me tell you, can I just say that I leave a good team in place, and it's going to be a very smooth transition to Andrew. So it's playing out very nicely.
Robert Koh: To Andrew. Congratulations to Mr. Thornton. Very good. Okay. My next question is, I guess, around balance sheet for Octopus and Kraken. I guess as at June, there was some sizable current liabilities and then there's prudential requirements and things like that. I take it that everybody is pretty comfortable with that. There was also a small investment by the British Business Bank. So I'm just wondering if you can provide any color on the balance sheet strength of the 2 entities, please?
Frank Calabria: Yes. So certainly, as -- look, there are facilities in place today across the group, and they're all very well capitalized. And remember that you need to make sure that you are protected for weather events and a whole range of things, and they've always been very prudently managing that capital through both facilities, cash and a number of things in terms of the strength of the balance sheet. The recent set of transaction sets it up for the future because we need to make sure that, that energy business has enough available for working capital as well as the ongoing growth of the other businesses, and we feel confident around that. You are correct in stating that there's a variety of arrangements in the U.K. market that go -- and there's even been recent announcements that are changing some of those obligations, for example, the renewable obligation and the region budget announcement is changing -- I mean, changing to actually have some of that being managed by government rather than the industry as well. So we feel very comfortable around the balance sheet. It will be around the ability for it to continue to grow, and it's got runway today for that over a period of time, and that will be where we're really making choices around capital going forward. But yes, we feel confident about the facilities they have today and the cash that's being raised for the benefit of when these entities separate.
Robert Koh: Yes. Great. Maybe if I can ask a slightly more direct question. Should we be thinking that there's a permanent amount of debt or nonequity capital in the structure at this point? Or is it all just still influx?
Frank Calabria: I think there are debt markets available as part of that as well. They've certainly -- they will have some debt, but it would be a lot less debt once they separate Kraken. And so therefore, it will be a combination. But they're making choices between what's the most efficient form of capital put into the business, and it is a combination of debt and equity, but the debt would be lower than what it is today across the group.
Operator: There are no further questions at this time. I'll now hand back to Mr. Calabria for any closing remarks.
Frank Calabria: Okay. Thanks very much, everyone, for joining us this morning. We look forward to meeting with many of our investors over the coming days and look forward to having further discussions. So thanks very much for your time today.